Operator: My name is Brock, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Fortive Corporation's Second Quarter 2025 Earnings Results Conference Call. [Operator Instructions] I would now like to turn the call over to Ms. Christina Jones, Vice President of Investor Relations. Ms. Jones, you may begin your conference.
Christina Jones: Thank you, and thank you, everyone, for joining us on today's call. I'm joined today by Olumide Soroye, our President and CEO; and Mark Okerstrom, our CFO. Today's call will begin with a brief overview of our consolidated Q2 results which include the results of our Precision Technologies segment. The remainder of our remarks will focus on Fortive's continuing operations following the successful separation of the Precision Technologies business, now Ralliant, which was completed on June 28, 2025. Please note that we will defer any questions related to Precision Technologies to the Ralliant team, who will hold their earnings call on August 12. During today's call, we will present certain non-GAAP financial measures. Information required by Regulation G is available on the Investors section of our website at fortive.com. Our statements on period-to-period increases or decreases refer to year-over-year comparisons unless otherwise specified. We will also make forward-looking statements, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks, and actual results might differ materially from any forward-looking statements that we make today. Information regarding these risk factors is available in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2024, and quarterly reports on Form 10-Q for the quarters ended March 28, 2025 and June 27, 2025. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements. With that, I'll turn the call over to Olumide.
Olumide Soroye: Thank you, Christina. Let me begin on Slide 3 with a few key messages. First, this was a pivotal quarter for Fortive. We successfully completed the spin-off of Ralliant on June 28, and we've emerged as a simpler, more focused company, well positioned to deliver durable and accelerated financial performance. In our final quarter as a consolidated company, we delivered adjusted EPS of $0.90 at the high end of our guidance range with 8% growth in trailing 12 months adjusted free cash flow. For new Fortive, on a continuing operations basis, our Q2 earnings and free cash flow results demonstrated resiliency. We delivered adjusted EPS of $0.58 and 14% growth in trailing 12 months free cash flow, despite customer demand pressures in the second half of June, stemming from tariff uncertainty, constrained government spending and evolving health care policy dynamics. As previewed in our June 30 Ralliant spin completion press release. Today, we are also initiating guidance for Fortive continuing operations, reflecting our full year outlook and consistent with our new Fortive approach of providing clear and simplified guidance and disclosure. Finally, we remain focused on executing our Fortive Accelerated strategy introduced at our Investor Day 7 weeks ago and designed to drive faster profitable growth and strong shareholder value creation over the medium term. We couldn't be more confident and excited for the road ahead. Touching briefly on Slide 4, which covers our final quarter of consolidated results, including the Precision Technologies segment, now Ralliant. We delivered Q2 adjusted EPS of $0.90 at the high end of our guidance range and generated approximately $300 million in adjusted free cash flow. On a trailing 12-month basis, our free cash flow grew 8% and free cash flow conversion and adjusted net income was 105%. We deployed approximately $140 million towards share repurchases during the quarter. From the time of the spin announcement in September 2024 through completion in June 2025, we allocated over 75% of our consolidated free cash flow to share repurchases, consistent with our previously communicated guidance about capital deployment during the period. Finally, we completed the spin-off of Ralliant ahead of our original time line, a testament to the power of Fortive Business System- driven execution and the talent and dedication of our teams around the world. From this point on, all figures and comments will refer to Fortive's continuing operations, excluding the results of the Precision Technologies segment. Let's move to Slide 5. With the completion of the spin, new Fortive begins in Q3 as a simplified and focused company with a track record of strong, durable financial performance fortified by our 50% recurring revenues. As shown on this slide, we begin this next chapter with an attractive financial profile and track record, having delivered 4% compounded annual core revenue growth over the past 5 years, with solid growth every year since the global pandemic in 2020. Each of our 2 reported segments have been key contributors to this performance and are poised for acceleration, powered by our Fortive Accelerated strategy. Before we dive into the details of Q2 results, let me highlight some examples of exciting progress our team made in the quarter in executing our Fortive Accelerated strategy on Slide 6. Our strategy is built around 3 core levers for profitable organic growth acceleration, innovation acceleration, commercial acceleration and recurring customer value, all powered by our Amplified Fortive Business System. Our new disciplined capital allocation approach seeks to enhance this organic results with maximizing medium-term equity returns as our North Star. We made meaningful strides in advancing key elements of this strategy in Q2, starting with innovation acceleration. Fluke continues to execute an exciting market- leading innovation funnel. For example, Fluke's 1670 Series Multifunction Installation Tester with TruTest software, Fluke Connect, a wireless connectivity was named most valuable product in Control Engineering's 2025 Product of the Year Awards. At Gordian, we're seeing strong adoption of our new cloud-based assessment and capital planning module, driving double-digit orders growth in that product category. Moving to commercial acceleration. Our Latin America growth strategy continues to ramp, delivering double-digit Q2 growth in the IOS segment in the region. At Fluke, we saw high single-digit growth in our priority high-growth applications, including distributed energy and data centers with exciting runway ahead of us, closing with recurring customer value. Our journey at Fluke to increase recurring revenue continued with double-digit ARR growth in the quarter, and we are undertaking AI-enabled customer experience improvements across our portfolio, driving better net dollar retention and customer lifetime value. As an example, Provation launched AI assistants, an intelligent automation to drive productivity in key health care workflows. All our organic growth acceleration levers are enabled by our Amplified Fortive Business System, which is at the heart of our culture. In May, nearly 1,000 team members around the world participated in our President's Kaizen Week, tackling growth opportunities with a continuous improvement mindset. It's one of my several weeks of the year, and I was particularly inspired by the pervasive deployment of AI capabilities for impacts across our 34 Kaizen teams and our team's energy around Amplified FBS for profitable growth. Finally, disciplined capital allocation is an integral component of our Fortive Accelerated strategy. At our June Investor Day, we outlined our capital allocation priorities to enhance shareholder returns, invest in organic growth, pursue accretive bolt-on M&A, deploy capital to share repurchases and maintain a growing dividend. Aligned with these priorities, we are activating our bolt-on M&A engine, and we are applying a rigorous disciplined approach based on relative returns to evaluate deals. We are ready to execute attractive bolt-on opportunities with the goal of enhancing shareholder returns. Looking ahead, the future is bright for Fortive. We are emerging from the spin as a more durable and resilient company with a clear plan to accelerate shareholder value creation through profitable organic growth, disciplined capital allocation and a deliberate focus on building and maintaining investor trust. We have rock solid confidence in the quality of our new Fortive portfolio, purpose-built team and Fortive Accelerated strategy shared at our Investor Day 7 weeks ago, notwithstanding fluctuations in specific quarterly metrics. Our teams are energized, empowered and excited to lead Fortive into this next chapter. I have been spending time with several of our customers, and they are thrilled about our new Fortive direction and eager to be part of our innovation acceleration, commercial acceleration and recurring customer value agenda. With that, I'll turn it over to Mark to walk us through the financial results for Q2, our last quarter before the launch of new Fortive.
Mark D. Okerstrom: Thanks, Olumide. I'll begin with Slide 7. In the second quarter, we delivered total revenue of just over $1 billion, down 0.4% year- over-year. On a core basis, revenue declined 0.7%. Q2 revenue growth for the company was negatively impacted late in the quarter by customer demand responses to macro pressures and uncertainty, which Olumide mentioned earlier and on which I will elaborate in more detail as I go through our segment results. Across the first 10 weeks of the quarter, we saw a continuation of the revenue growth trends we saw in Q1. However, as June progressed, we saw year-over-year growth turn negative in the last few weeks, and we finished the month approximately $30 million below our expectations, driving year-over-year revenue growth on our $1 billion quarterly revenue base into declined territory. Although it's early, July is looking better. Aside from these end-of-quarter factors, the business performed broadly in line with our expectations. From a geographic perspective, North America was slightly positive, but less so than what we had anticipated largely due to the end of quarter factors. Western Europe, China and Latin America were down year-over-year. We delivered adjusted gross profit of $650 million, similar to last year. Adjusted gross margins were also roughly flat year-over-year as FBS driven pricing actions, growth in higher margin recurring revenues and lower costs from supply chain countermeasures were roughly offset by tariff-related cost pressures. Adjusted EBITDA was $288 million, in line with Q2 of last year, with adjusted EBITDA margins holding steady versus the prior year. We delivered adjusted EPS of $0.58, up 4% year-over-year, driven by stable year-over-year adjusted EBITDA, coupled with lower interest expense on lower debt balances and the positive year-over-year impact of share repurchases. We estimate direct tariff costs, net of countermeasures, created a roughly $0.02 headwind to EPS in the quarter. This excludes the tariff-related quarter-end demand pressure referenced earlier. We generated $180 million of free cash flow in the second quarter with our Q2 trailing 12-month free cash flow of $939 million, representing a solid 14% year-over-year increase. Our Q2 trailing [ 12-month ] free cash flow conversion on adjusted net income was 107%. Moving to our segment results, starting with Intelligent Operating Solutions on Slide 8. Both revenue and core revenue growth were essentially flat year-over-year, which was below our expectations. The back half of June, year-over-year growth turned negative, driven by 2 primary factors: first, general tariff uncertainty and questions around the permanence of tariff-related pricing and surcharge changes, resulted in what we believe was deferred, not canceled customer spending on certain categories of professional instrumentation of Fluke. While overall orders grew in the quarter, the mix of orders, particularly in the final weeks, shifted to longer lead time products, resulting in an increase in backlog and a shortfall in revenue. We expect to deliver most of the backlog over the course of the second half of the year, and we are seeing encouraging signs in July that order mix is normalizing, which would suggest that most of the Q2 revenue slip will come back to us in the next several quarters. Secondly, constrained U.S. government spending and fiscal tightening at state and local governments pressured take rate procurement revenue at Gordian. Gordian usually sees a spike in spending in the last few weeks of Q2 as government entities with the June fiscal year-end rush to use their remaining budgets. Our customer discussions suggest that overall concerns about go-forward funding more broadly created a chilling effect on the usual use it or lose it behavior. Absent the above factors impacting Fluke and Gordian, the quarter would have come in broadly in line with our expectations. As always, there were puts and takes, but we've been pleased with the growth we've seen at Industrial Scientific and the IOS software businesses year-to-date. Adjusted gross profit came in at $461 million, down slightly from prior year. Adjusted gross margins declined to 66.1% from just under 70% a year ago, primarily due to tariff cost pressures, partially offset by pricing countermeasures and growth from our higher-margin software businesses. Despite the slight revenue and gross profit declines in the segment, adjusted EBITDA grew 2% to $236 million as lower operating costs more than offset the modest decline in gross profit. Adjusted EBITDA margins grew to 33.8%, up from 33.3% in the prior year period. Moving to our Advanced Healthcare Solutions segment on Slide 9. We delivered total revenue of $320 million, which was below our expectations. Revenue was down 1.3% year-over-year and down 1.9% on a core basis. Towards the end of Q2, we saw reimbursement policy changes and uncertainty impact the Advanced Healthcare Solutions segment. Specifically, we saw the deferral of U.S.-based hospital capital expenditures on health care equipment, including sterilization machines at ASP and quality assurance devices at Fluke Health with customers citing precautionary deferral of spending while they sort through the impact of reimbursement policy changes. We saw partially offsetting outperformance in other parts of the business with our AHS software businesses outperforming on strong execution and benefiting from resilient SaaS-based revenue models. Absent the end of quarter pullback in health care equipment spending, AHS in total would have grown revenue largely in line with our expectations. Despite revenue being down year-over-year, adjusted gross profit was up slightly. Adjusted gross margins were up from just under 58% last year to just over 59% with favorable pricing contribution aided by a mix shift into higher-margin AHS software revenue away from lower-margin hardware revenue. Adjusted EBITDA was flat year-over-year at $86 million as we reinvested very modest gross profit dollar growth into R&D, sales and marketing initiatives to drive our top line acceleration agenda outlined by Olumide. Despite these investments and declining revenue, adjusted EBITDA margin expanded modestly from 26.6% to 26.9%. Moving to Slide 10 for a brief update on tariffs, which has shifted meaningfully since our Q1 earnings call. Based on current tariff rates in effect or expected to go into effect, we now expect the gross tariff impact for Fortive continuing operations to be approximately $40 million to $55 million in the second half of 2025 and $80 million to $120 million on an annualized basis. The majority of this impact is related to U.S.-China tariffs while the global trade environment remains volatile, and that volatility is impacting our results on the margin. We are actively leveraging the Fortive Business System to adapt and respond. Our countermeasures include pricing actions and surcharges, shifts in our global supply chain and manufacturing footprint and incremental cost and productivity initiatives. Assuming tariff conditions continue along the path of what is known today, we expect gross tariffs to be mitigated fully by the fourth quarter, and we expect we will see a modest gross margin and EPS headwind in Q3 as our countermeasures continue to fully phase in. Should global trade and fiscal policy remain as volatile as it has recently been, we would expect to continue to see near-term revenue impacts and challenges with revenue visibility of the type we saw in Q2. Turning to Slide 11. We received a $1.15 billion dividend from the Ralliant spin-off, which is reflected in the Fortive continuing operations balance sheet in our earnings release. In July, we used approximately $725 million of proceeds from the dividend to pay down debt, comprised of the entirety of our Japanese yen and euro-denominated term debt and a portion of our 2026 euro bonds. We plan to use the remaining dividend proceeds for share repurchases. The balance sheet figures shown here represent Fortive continuing operations on a pro forma basis, reflecting the debt paydown. From a leverage standpoint, our gross leverage ratio is roughly 2.5x adjusted EBITDA after these debt repayments in line with our stated target. As previously highlighted on a trailing 12-month basis, we generated roughly $940 million of annual free cash flow. This, plus our strong balance sheet and growing adjusted EBITDA gives us ample capacity and flexibility to execute our capital deployment priorities, always with a disciplined focus on allocating capital based on best relative risk-adjusted returns from a shareholders' perspective. Moving to Slide 12. We are initiating our full year adjusted EPS guidance for new Fortive at $2.50 to $2.60 per share. This outlook assumes a continuation of the market dynamics we experienced in Q2. We are not forecasting any material improvement or deterioration. It reflects the expected net impact of tariffs based on currently announced rates. Now let me provide a few additional modeling considerations. From a phasing perspective, we expect Q3 reported revenue to be broadly similar to Q2, including a modest tailwind from FX. We are modeling second half core revenue growth broadly in the range of the core growth we saw in the first half. We also expect AHS core growth in the second half to be similar to Q2 with a more challenging year-over-year comparable in Q3. From an adjusted EBITDA perspective, we expect typical seasonality with Q3 adjusted EBITDA lower than Q2 on a dollar basis. As a reminder, with lower debt balances, our interest expense will be lower in the second half. We continue to expect a full year adjusted effective tax rate in the mid-teens. However, we are modeling Q3's tax rate in the high teens and the Q4 tax rate in the single digits due to discrete tax items in the quarter. Given seasonal revenue and margin patterns and the interest and tax assumptions I just outlined, we expect Q4 adjusted EPS to be meaningfully higher than Q3, which we currently expect to be slightly lower than what we saw in the second quarter on a cents basis. Before I wrap up, I'd like to take a moment to walk through our approach to guidance and disclosure for the remainder of the year. As we have just outlined, we will provide annual adjusted EPS guidance updated quarterly, along with commentary on phasing throughout the year and modeling help on other key P&L line items. Our disclosures will remain focused on key metrics at the Fortive and segment level with color at a lower level of granularity as appropriate to provide clarity on key drivers of performance. This approach reflects our ongoing desire for clarity and simplification in our communications with the investor community. As a final note, before turning it back to Olumide for closing remarks and Q&A, I wanted to directly and clearly state that recent near-term revenue volatility has absolutely no impact on our confidence in the future outlook for our business. And specifically, the medium-term financial framework we shared at our recent Investor Day remains firmly intact. Q3 marks the beginning of our new chapter, and we are moving the pieces into place to drive accelerated growth and shareholder value creation in the coming years. The 3-pillar value creation plan we outlined at our June Investor Day is now solidly in the implementation phase, and I couldn't be more excited for the road ahead. With that, I'll turn it back to Olumide.
Olumide Soroye: Thanks, Mark. Let me close our prepared remarks on Slide 13 with a few reflections on what's ahead for Fortive. First, we have a long track record of strong annual financial performance as presented on this page. Solid revenue growth, expanding EBITDA margins and resilient free cash flow in the last 5 years. Q2 2025 was our last quarter before the launch of new Fortive. While core growth in the quarter was below our expectations, our earnings and free cash flow stood up well in the face of unexpected headwinds. We delivered 4% adjusted EPS growth and 14% trailing 12 months free cash flow growth. This is a testament to our team, the [ operating ] leverage and cash generation strength in our business and the Fortive Business System. We are excited about what that portends as we return to normal and accelerating growth. With Q2 and the spin behind us, we now enter the era of Fortive Accelerated. Our purpose-built new Fortive team is excited about the opportunity ahead of us, and we thank you all for your interest in Fortive. I especially want to thank our investors, our 100,000 customers and all our Fortive employees around the world across our 10 iconic operating brands who do a tremendous job every day to deliver near-term results and build enduring advantages in our businesses. With that, I'll turn it to Christina for Q&A.
Christina Jones: Thanks, Olumide. That concludes our prepared remarks. We are now ready for questions.
Operator: [Operator Instructions] Our first question today comes from Julian Mitchell of Barclays.
Julian C.H. Mitchell: And congrats on getting the first earnings out of the way as RemainCo or new Fortive. Maybe just wanted to start with the sort of second half moving pieces between the third and fourth quarter. So it seems like maybe third quarter EPS is in the maybe low mid-50s range in terms of cents, perhaps sort of flattish EBITDA sequentially and then there's the tax pressure. And into the fourth quarter, it looks like you need a sort of $0.30 or so increase in EPS sequentially helped by that tax rate dropping in Q4. I just wanted to make sure that, that rough framework made sense in terms of your full year guidance. And just sort of help us understand on the operating line, why do you get such a big lift in Q4.
Mark D. Okerstrom: Yes. Thanks, Julian. I'll take this one. So there definitely are a few things going on. I'd say directionally, you're thinking about things the right way. As a reminder, just normal seasonality of this business is for there to be a step down from Q2 to Q3. So you definitely see that in the way we're sort of shaping the year. Added to that is we do have some negative impact from tariffs still that are going to hit us in the third quarter, which sort of builds upon it. And then as you move into the fourth quarter, again, normal seasonality is the biggest driver. But if you work down through adjusted EBITDA first, you've got a couple of other factors. One is that the tariff countermeasures are fully implemented. And they actually become a slight positive at current rates into the fourth quarter. And secondly, you've got a tailwind from FX, which, again, foreign-denominated currencies, more U.S. dollars in revenue and the vast majority of our costs are sitting in U.S. dollars. So that does drop through to adjusted EBITDA. That's been compounded as you move down to adjusted EPS because you've got the discrete items on tax rate that we mentioned, which pushes tax rate down into the single-digit zone. You've got lower interest expense on lower debt balances. And then you've also got the year-over-year impact of share repurchases, they're helping EPS as well.
Julian C.H. Mitchell: That's helpful. And then just my follow-up would be around a couple of the main end markets that led to the shortfall in Q2 and how you're thinking about those playing out from here? In particular, I suppose, the government pressure at FAL. What are you assuming there in terms of how much faster that improves? And then in health care, just unpack a little bit because you had the sort of selling days headwind in Q1 and then it's seems to morph into something more problematic late in Q2. Sort of what are you seeing right now there in Q3?
Olumide Soroye: Yes. Thanks, Julian. I'll take that one. So in many ways, Q2 played out exactly how we expected, except for these 3 discrete items. So I'll go through the 3 of them. So the first one on the FAL and government spending at Gordian. The nature of that is we were coming up after 2022 and 2023, where we had double-digit growth in that business. So we knew we kind of had a comp issue coming in. And then the June -- we always say June is a big month, but in particular, for that business because it's the year-end for a lot of state and local agencies, they usually have a big spike in spending, which just didn't happen as much [ as we've ] seen for the last several June, the last several years. But what we do know to be the case is that the projects in the pipeline are still there. They are essential projects for these communities that have to get done. So we know, as a matter of fact, that these agencies are working through getting those projects funded. The exact timing of when they flow through our revenues is hard to predict. I would say that for the second half, the guidance we've laid out here comprehends any range of outcomes on how that plays through, whether it's fast or slow. We have enough other things to make sure our guidance here is secure. So that is going to trickle through, just the prediction of the time line is hard to nail down. With respect to health care, I mean, I would say that the overall segment continues to be very strong for us. There was a very specific thing in June for capital equipment purchases by hospitals. So if you think about it, the One Big Beautiful Bill was signed on July 4. So that means that 3 weeks before that, these hospitals were trying to figure out what the final provisions were going to be, how that affects their economics in terms of especially Medicaid and sort of uninsured and what that means for them overall. So a lot of them really just precautionary deferral of equipment purchases. These are essential sterilization and safety equipment that they do have to buy. We've already seen in July some favorable trends that some of that's coming back. So again, we know it's going to come back. We haven't assumed it's all going to flow through in Q3 or Q4. Our guidance is secure, whatever the time line is on that. And I think the Fluke one, just to close it off, Julian, is the easiest one in many ways because POS was very strong, orders grew in the quarter. And so you say, well, what happened? And it really was we had a slight shift in mix from short cycle to longer cycle in late June, which meant we build backlog. And so again, we know the backlog is going to burn over the next few quarters. And again, whatever range of outcomes is safe within our guidance. So overall, solid quarter, and we feel good about what we've assumed here.
Operator: The next question is from Nigel Coe of Wolfe Research.
Nigel Edward Coe: So I think you said sales in line with 2Q and 3Q. And then you clarified to the previous question that sales normally down Q-on-Q. So just wanted to clarify that point. Is organic sales in 3Q consistent with the modest decline we saw in 2Q? Just want to pin that one up.
Mark D. Okerstrom: Yes. I mean I would think on a consolidated basis, it's roughly in line. The one thing to keep in mind is that for AHS specifically, I would expect the back half growth rate to be consistent with what we see -- saw in Q2, again, really largely on the factors that Olumide mentioned, there continues to be pressure on health care reimbursement rates, and we don't expect that to subside anytime in the back half of the year.
Nigel Edward Coe: Okay. So just -- so again, maybe I'm just being dumb. So the organic sales growth consistent with 2Q on a solid basis or dollar sales?
Mark D. Okerstrom: Dollar sales.
Nigel Edward Coe: Dollar sales. Okay. So that implies...
Mark D. Okerstrom: [indiscernible] the back half core growth rate to be roughly [indiscernible].
Nigel Edward Coe: Okay. And so that implies that IOS organic sales growth would improve materially in 3Q, but AHS still in that down 2% type of range. If we're seeing this temporary dislocation in June from the sterilization equipment, why wouldn't AHS improve in the second half of the year?
Olumide Soroye: Yes. Let me take that one, Nigel. That's the right question. I think part of it is the Q3 2024 comp for AHS is quite high. So that's part of what you see. And so Q3, especially for AHS would not show the quick pop in [indiscernible] improvement that IOS will show. And I think we also, again, just precaution, we've kind of assumed in our guide here that to Mark's point, these hospitals, and they're different -- the academic hospitals are different [ and ] the big ones than the rural hospitals. But we've just kind of from a prudence point of view, assume that it takes a bit of time for it all to unwind. Unlike for Fluke, where we know its backlog we build, and that's going to be easier to burn because it's all in our control. So there's some of that, that you see that the comp effect in Q3 for AHS and it's just the nature of the specific hurdles that we run into in late June and what we've assumed for how quickly they resolve.
Nigel Edward Coe: So your comps certainly do get tougher, so I see that. And then just a quick one on Gordian. It seems like you had a little bit of the June year-end friction around use it or lose it. So just to be clear that, that business has recovered in Q3 so far. I'm just wondering, could you maybe just give us some renewal rates around Gordian or the IOS software. That would be helpful.
Olumide Soroye: Yes. So I mean, just on the Gordian piece, so yes, it was a specific situation around this year-end for the state and local. We are seeing that kind of ease up a little bit in July, but it's too early to call victory on it, but it's certainly feeling like things are easing up a little bit. I think in terms of overall software renewal rates, I would tell you that all of our software businesses had very good NDR in the quarter. So renewal rates are really strong across the board. What we're really focused on is instead of just gross dollar retention, really working on the kind of the expansion and the cross-sell and upsell and pricing to get our NDR to even higher levels. But from a renewal point of view, all really strong -- really, really strong. Like Mark mentioned, we're talking about the 3 areas that kind of didn't go the way we expect. But the fact of it is everything else went really well for us in the quarter, which I think just gives us a lot of confidence as we look at the medium-term outlook that we laid out 7 weeks ago.
Operator: The next question comes from Stephen Tusa of JPMorgan.
Charles Stephen Tusa: I echo Julian's comments on congratulations for coming out here in your first quarter public. So just a little bit on the -- at a higher level, the rationale around -- I mean, I didn't quite get the slide maybe. But it looks like you guys will not be giving organic growth guidance at a high level, you'll just be giving kind of like color on that. Is that right?
Mark D. Okerstrom: That's the intention, Steve. And I think I would think about it as we're going to try this approach for the back half of the year. We want to get feedback as we go. And really, just to reiterate the goals here. Number one is, we just really wanted to simplify the way that we communicate with investors. That's certainly been a strong point of feedback from the broader investment community for us, and we've taken that on board. Secondly, though, just to be very clear, our sights are very much set on the value creation plan that we laid out. It's a multiyear value creation plan. And so part of the simplification effort is to make sure that we have the ability from quarter to quarter and across P&L items to make business decisions that are smart business decisions that will support that medium-term value creation goal. And that's what's led us to, again, annual adjusted EPS only with hopefully modeling help that is maybe more helpful than specific quarterly guidance might have been in the past.
Charles Stephen Tusa: Okay. I mean yes, my feedback would be like one number is probably not enough, but I guess we'll see how it goes in the next couple of quarters here. And then I think Olumide, you said you're going to -- you emphasized that you're kind of ready to do bolt-ons. I thought there'd be a little bit of a breather on that front. Is there anything that you are changing in that approach relative to what Fortive has done historically? Was there a bit of a reset on the process or anything like that? Or should we just think about this as a continuation of what's been happening for the last few years?
Olumide Soroye: Well, so thanks, Steve. So I mean, it is -- we've tried to be really clear about how this is a very different capital allocation play call that we've made here. And so the first is the kind of the dynamic balance across share repurchase and kind of accretive M&A that is really focused on bolt-ons. So that is very different. The second thing that is different is we've really elevated our kind of the financial and strategic scrutiny that we apply to these bolt-on deals that we do. We have a strong track record on them, and we've elevated that level of scrutiny on those bolt-ons. And I would say in terms of kind of the timing, obviously, we've been kind of quiet now since we announced the spin in September 2024. And even for 9 months before that, we've been quiet. So I think one thing we've continued to do in that quiet period, Steve, is we've continued to cultivate these proprietary deals with assets that are close to areas of strength for us that we advantage natural owners for that we know exactly how to create value for. So now we're kind of opening the conversation to see which ones of those meet a very high bar on bolt-ons that are accretive and have strategic [ fit ] and meet our financial criteria. And it's always, as you know, hard to predict the exact timing of when these things will mature for execution. But we're open for business. And at the same time, our level of kind of discipline and especially attention to making sure that every deal we do is beyond reproach is really high right now. So we'll hold a high bar, but we're also open for business.
Operator: The next question is from Jeff Sprague of Vertical Research Partners.
Jeffrey Todd Sprague: Yes, I'm still a little confused on a couple of the guidance inputs here myself. So I think we've got AHS nailed down. But what are you implying for IOS then? Dollar sales roughly equivalent in Q3 and then a seasonal pickup in Q4? Can you just clarify that?
Mark D. Okerstrom: Yes. I would think about IOS broadly is following the same pattern that we spoke about for Fortive in total. So you will see a pickup in core growth through Q3. And I think about the back half in total as being broadly consistent with what we saw in the first half in terms of core growth rates.
Jeffrey Todd Sprague: And then just trying to triangulate to what you said about EPS and maybe I've got something wrong below the line on interest or other. But -- so it looks like you're implying down margins on flat sequential revenues in AHS. Is that correct? Or where is the implicit margin pressure in Q3?
Mark D. Okerstrom: So Q3, I would think about AHS is being broadly consistent with -- I'd say, probably down a little bit versus Q3 of last year, again, just on the trends that we saw, tariff impact, et cetera. And then IOS, I would think about is, again, just down slightly again on that tariff impact. And then you see a rebound in the fourth quarter on the factors that we mentioned.
Jeffrey Todd Sprague: And I'm sorry, just -- I mean there's -- I guess there's an upper bound on high teens and there's a lower bound on single-digit tax rate for Q3 and Q4. But maybe you could just tell us what you're expecting for the annual tax rate, so we don't get too far out of whack on trying to triangulate between those 2.
Mark D. Okerstrom: Yes. I mean I would think about annual tax rate in, the, call it, 14% to 16% zone.
Operator: The next question is from Scott Davis of Melius Research.
Scott Reed Davis: Christina, congrats on getting all the stuff done. I'm sure it was a lot of work. But in that context, as I just wanted to ask, how big of a distraction was it to the organization with the spin and the management change kind of at the similar time, I would imagine that would create some angst amongst folks, but maybe some color around that.
Olumide Soroye: Yes. Well, thanks, Scott. I think the -- it is a lot of work for the team, and I'm grateful to just the incredible effort that our teams put into getting the spin executed at the same time, getting the quarter delivered and end up at the high end of our adjusted EPS guide. So it was a lot. And to your point, the leadership change is a lot, too. While obviously, I'm not new to the team, but it's still a change. I would say that in the spirit of our culture because the thing that makes Fortive special is not any one of us, is the fact that all 10,000 of our teams are deeply rooted in the Fortive Business System, and that's how we do everything we do. The show goes on in that sense. So from a distraction point of view, for most of our operating companies, which is where we serve our customers, it really wasn't much of a disruption. Most of the spin activity was on the corporate team. So again, I wouldn't say it was not changed, but just to calibrate it, overall, we still delivered a solid first half despite this kind of late in the quarter [ core growth pains, that's ] $30 million on a $1 billion revenue base in the quarter. I think our teams just did an incredible job of resiliency, staying focused. And I'll tell you just right now, the level of excitement about the future and the path we're on with Fortive Accelerated is quite a thrill to see.
Operator: The next question is from Andy Kaplowitz of Citigroup.
Andrew Alec Kaplowitz: So you mentioned the deferred spending at Fluke toward the end of the quarter, but you said that the order mix, I think, is normalizing. I guess the question is, why did you see a bit of a gap down now? Because Fluke has been, as you know, pretty stable for a long period of time, even, I think in the initial tariff-related volatility. So how much do you worry, if at all, that it's just maybe more macro uncertainty creeping in? Or it's just this sort of temporary thing? And what are you seeing in the channel?
Olumide Soroye: Yes. No, thanks for that question. I mean I think we're -- I'll just step back. For Fluke overall, you're exactly right. Our level of confidence and excitement in the kind of really differentiated position of that business. If you think about industrial professional instrumentation, you'll be hard-pressed to find a business with the brand strengths and the gross margins and the resiliency that we've shown, the fact that 15% of that business is now recurring revenues and continues to grow at double-digit ARR for that piece of it. So nothing changed about Fluke, the focus on innovation and how that adds acceleration to what's already a great story. So all of that stays the same. And I think, again, what happened in Q2 was, again, just very simply for short-cycle type of products, customers on a few big orders saying, "Hey, I want to wait and see what happens with tariffs before I place the order. And in the meantime, I'm going to burn through the inventory I have." And a lot of those are coming back now. So the broad story that's the context for your question is right, which is Fluke remains strong. We feel great about the outlook. What we've done with the second half guide is really just very prudently and in a balanced way, looked at what we saw in the first half and the fact that kind of the tariff back and forth is not all settled yet. And while we don't know exactly how all of that would trickle through the system, including in some of the international markets, Western Europe and China and Latin America, where there are other things at work in those markets as they try to shift some more money to defense and all of that. We just prudently assume that the second half in a kind of core growth performance for Fluke and IOS will be the same as what we saw in the first half, knowing that there's a lot of things that give us kind of a chance to accelerate off that going into next year. So nothing has changed about the fundamentals of Fluke. In many ways, we're more excited about our prospects now in the medium term for that business than we've ever been. But we just really try to be prudent and balanced about the second half guide.
Andrew Alec Kaplowitz: That's helpful. And can I ask you a follow-up to that? Like if I look at China and Europe, it feels like at best, those geographies are stable and maybe there's been a little bit of a step down as you -- for instance, you get that transition to defense in Europe you talked about. So what are you seeing there? Are you guys seeing sort of stability? Is it a little bit weaker in those regions? More color, I think, would be helpful.
Olumide Soroye: Yes. No, absolutely. So I mean let me just give you a few data points. So from a point-of-sale point of view, I'd say North America was our best market. And so -- and as we look at the rest of the year, expect that to be the case. I think double-digit POS, which is really strong. And then for Western Europe and most of APAC, the point of sale is generally flat, kind of flattish, which, again, is consistent with what we expected coming into the year. I think as we look out, we're not assuming any of that changes dramatically. We think for North America, it will continue to be strong. I think in many ways some of the benefits of the policy changes as it pulls more industrial manufacturing capacity into the U.S. will provide a tailwind for North America. So we feel the North America trajectory remains strong. And then for China, we really do feel like -- it feels like there's -- it's bottomed out a little bit and it gets better from here on, especially given the framework on tariffs feels to be getting to some point of closure soon here. We think that would reduce some of the anxiety in the system and help us sort of see the bounce in China over time. And in many ways, I think Western Europe is the one that's still to be seen as they kind of try to walk through a number of active wars in the region and a number of important decisions on moving spend into defense and how that affects the overall economy. So -- but again, I feel good about the work that our team is doing in terms of innovation for those markets and controlling the things that we control.
Operator: The next question is from Joe Giordano of TD Cowen.
Joseph Craig Giordano: Just curious with all the pressure on hospitals and what reimbursement can mean for margins for like most of the hospitals are a lot of -- non-for-profits a lot with really thin margins. Does this push them towards like more down the line to single-use applications where it's just -- if they're focused on lowering the amount of dollars they spend at any given time unlike larger-scale equipment?
Olumide Soroye: No, we don't think so, I guess, is the short answer. I think if you think about what this all means for health care providers, I think it means they probably would have pressure on reimbursement. They may even have at some level, pressure on sort of the -- kind of the insured customer base, which may affect volumes. And so then you say, well, what are they likely to do about that? I think the first thing to think about is the profit center for these hospitals are in the operating room. So they're likely to want to move more activity through the operating room. And as they do that, the fact of it matter is there are a lot of disadvantages to single use [ steel ], including effectiveness and also kind of total cost of ownership of those kind of approaches versus the kind of high effective instruments, robotics, endoscopes that are really needed for the highly profitable procedures going to the OR. So we don't -- we see in many ways, more movement to advanced devices that tend to be connected with more profitable procedures. And those devices are not single use, and those devices would need very tough on germs and gentle on devices sterilization procedures that map well with where we've picked us a position of strength. So I was with one of our big hospital clients just recently. And absolutely, everything we're hearing from them is, hey, we need you more than ever because the way this market is shifting, we need more through the OR. We need things that can really help handle robotics and endoscopes and these types of instruments that are becoming the higher -- you think about the volume of use of devices in ORs, it's really shifting towards this higher value, higher effectiveness, higher complexity devices, not single-use things that -- [ really, the ] economics when you think about the total cost and effectiveness trade-off just isn't as compelling as it might seem.
Joseph Craig Giordano: Fair enough. As you guys start on bolt-on M&A, I'm just curious what the -- like the appetite is on the software side, just given where the multiple of the stock is, what you might have to pay for stuff like this, what is the kind of appetite to buy something that might be fast growth but is early stage and may ultimately grow slower. Just curious where that kind of force ranks between acquiring in fall versus acquiring in -- like on Fluke or on AHS type stuff.
Olumide Soroye: Yes. Well, I'd say, overall, we've tried to keep it simple, which is that we have clear strategic and financial criteria. And whether it's a software asset, consumable recurring revenue asset, kind of a differentiated, very durable hardware asset, they have to meet the same criteria. So we've shown that irrespective of the type of asset, when we apply the new focus we have on proprietary deal cultivation, this is like we're not waiting for a banker-led process. We're actually cultivating this over many years, whether it's software or hardware, you can get a great asset. And price is very much part of our strategy when we think about the accretive nature of this asset. So you get a great asset, but also at the right price that obviously, to your point, is compatible with kind of the multiple we're trading at and give us a chance to be accretive from that perspective. So we feel good that we don't really need to draw a hard line as long as we stick on principal to the criteria that we've laid out. Again, if you think about the bolt-ons that we did in the second half of '23, there was a software asset in there, and it was -- the price point fit very well in terms of multiples. We didn't have to get frothy. And we had some data AI assets, and we had some hardware assets. So that's how we're looking at it. We'll hold to our criteria. And if it fits, it fits. If it doesn't, we don't feel a compulsion to do any type of deal.
Operator: The next question is from Deane Dray of RBC Capital Markets.
Deane Michael Dray: I'll also add my congrats. I missed the first couple of minutes at the opening. So I don't know if this got to addressed. But anything on stranded costs? Is new Fortive already sized appropriately post spin? Anything on kind of repositioning that and what the timing would be in size?
Mark D. Okerstrom: Yes. Thanks, Deane. I'll take that. I'd say we're broadly on track with the guidance that was given previously. We've got about, I think, half of the stranded costs that are out done and dusted and we're going to work on the rest over the next, call it, 12 months or so. I would also say just generally, as a team that sort of got this opportunity to drive medium, long-term value creation here, we are looking at opportunities around the business to just be more efficient to be able to divert dollars to their highest and best use. So I think in addition to stranded costs, I mean, we're going to be on the lookout for other opportunities to essentially just drive better performance across the business through cost discipline.
Deane Michael Dray: Great. And then just as a follow-up. On the cadence of the months, June being down, July bounced back, stabilized. We've heard that elsewhere today and some another industrial. Can you just expand on that? What were the businesses that were down in June? Was that deferred? And you think that will still the return in July? You still might see some of those deferred projects coming back over the next couple of quarters. But just kind of digging there, what were the businesses and expectations for the quarter?
Olumide Soroye: Yes. No, thanks. So there are really 3 specific areas. So the first one was some of our short-cycle professional instrumentation product groups at Fluke, where we saw customers on some big orders just say, "Hey, I'm going to wait to see what happens with tariffs on July 9 and on August 1." And then I think a lot of them are now coming back in and placing those orders. So we feel good that, that resolves fairly quickly. And that's a big chunk of it. The second area is on health care capital equipment, where, again, hospitals were holding off on seeing the impact of the Big Beautiful Act and how that affects economics before they procure capital equipment. The funnel remains strong. We didn't lose a single one of those deals, just to be really clear. And so its really things shifting to the right. The exact timing of when those customers place the order, we've tried to be prudent. And it feels like it's getting better in July, but it's too early to call kind of final victory on that. And then the third one is the state and local government procurement business where -- and think about this as projects in each of our communities where they're trying to fix leaking roof and city hall, they're trying to replace mechanical equipment in a K-12 school that has to be replaced. And on the margin in the June year-end for a lot of them, they had less money to kind of use it or lose it. And so they deferred some of those, but the projects that have to get done, so again, they will come back to it. So we -- and everything else at Fortive was right on track with what we expected, except for those 3. So we feel good about how that resolves. We've tried to be prudent on assumptions about how quickly they all come back, but that's how we thought about it.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to Olumide for closing comments.
Olumide Soroye: Excellent. Well, thank you all for joining us. We appreciate your interest. Our team, as you hopefully can sense, is incredibly excited about the opportunity ahead. We've laid out the plan to have this company in its simpler and more focused form grow faster. We got our entire leadership team together to get everyone aligned on that. Just in the last couple of weeks here, the excitement level is really high for us. We also said our capital allocation is a critical part of our value creation strategy. So the discipline on that is going to be ferocious from our point of view going forward to make sure we're beyond reproach. And then just making sure that we build and maintain investor trust. And again, hopefully, you're seeing that in the way we are approaching these communications. We thank you for your interest, and we'll see you around.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's teleconference. You may disconnect your lines, and have a wonderful day.